Operator: Ladies and gentlemen, welcome to the Terminix Third Quarter 2021 Earnings Call. Today's call is being recorded and broadcast on the Internet. Beginning today's call is Jesse Jenkins, Terminix's Vice President of Investor Relations, FP&A and Treasurer. Now, I'll turn it over to Mr. Jenkins, who will introduce the other speakers on the call.
Jesse Jenkins: Thank you. Good morning and welcome. Before we begin, I would like to remind you that throughout today's call, management may make forward-looking statements to assist you in understanding the company's strategies and operating performance. As stated on Slide 2, all forward-looking statements are subject to the forward-looking statement legends contained in our public filings with the Securities and Exchange Commission. These forward-looking statements are not guarantees of performance and are subject to the risk factors contained in our public filings that may cause actual results to vary materially from those contemplated in the forward-looking statements. Information discussed on today's call speaks only as of today, November 2, 2021. The company undertakes no obligation to update any information discussed on today's call. This morning Terminix issued a press release filed with the SEC on Form 8-K including our unaudited third quarter 2021 financial results. The press release 8-K and the related presentation can be found on our Investor Relations website at investors@terminix.com. We will reference certain non-GAAP financial measures throughout today's call and we have included definitions of these terms in our press release. In order to better assist you in understanding our financial performance, we have included reconciliations of these non-GAAP financial measures to the most comparable GAAP financial measures. Joining me on today's call are Terminix CEO, Brett Ponton; and CFO, Bob Riesbeck. Slide 3 of the presentation posted on the Investor Relations section of our website ways up the agenda we will cover today with Brett opening up the highlights and initiatives, updates, followed by Bob reviewing our financials and outlook. We will then open the line for questions. I'll now turn it over to Brett Ponton. Brett?
Brett Ponton: Thanks, Jesse. In the third quarter, we delivered revenue of $530 million for growth of 4%. Organically we had a strong quarter in our termite business with 6% growth in termite renewals, the highest renewals growth rate since 2018. As we begin to benefit from increased volume from sales last year as well as better pricing in an inflationary environment. The unit growth in termite of 3% included recurring termite growth as well as increased home services, cross-selling to existing customers,. Despite a strong prior-year comparable 13%, residential pest grew 1% organically with better pricing, cancel rates, and retention rates offsetting a reduction and completion rates driven by staffing headwinds in the quarter. Staffing challenges can be seen throughout our results for the quarter, including the revenue growth of our pest control businesses as we manage through the pandemic. The lower than needed staffing levels led to challenges completely recurring work in both residential and commercial pest as well as missed opportunities and national accounts one-time sales. Despite these challenges, retention rates improved and commercial over the prior quarter, and we are confident in our ability to add staff over the winter to be prepared for additional work before the peak pest season of 2022. I will have more on our staffing plans in a moment, as this is the priority at all levels of the organization in the near term. Third quarter adjusted EBITDA was $102 million, up 3% or $3 million year-over-year for a margin of 19.2%. We are pleased with the progress. We are making to mitigate termite damage claims expense and saw a $5 million reduction year-over-year, the first year-over-year reduction since 2019. The quarter saw significantly lower litigated cases sequentially and a 6% reduction in non-litigated cases year-over-year. We remain confident in our approach to manage termite damage claims and are encouraged by the results in the quarter. Direct cost productivity included lower chemical costs better fleet management and margin expansion from insourcing national accounts work. The impact of the pandemic continued to weigh on our business as we saw $3 million and higher labor expense and $5 million from increased COVID-19 related medical expenses in the quarter. Free cash flow was strong during the quarter, allowing us to return $171 million in capital to our shareholders through our share repurchase program. We also purchased 8 tuck-ins in the quarter for $41 million as we gain confidence in our ability to integrate, as we roll out the customer experience platform. Leverage of 1.9 times adjusted EBITDA remains below our longer-term target, allowing us to continue to prioritize investments in strengthening our underlying operating capability as well as take advantage of opportunities in the acquisition market. As we turn to Slide 5, I'm also encouraged by the progress we are making on enhancing our digital marketing presence and implementing both Terminix Way and Customer Experience Platform or CxP. In the quarter, we made progress in our plans to improve our trading levels and equip our teammates with the tools and technology needed to improve customer acquisition, penetration, retention and reduced performance variation across our business. While I'm pleased with the progress we've made on improving our processes and systems in a service-based business staffing at the most important aspect of our relationship with our customers. As we saw in the quarter, staffing is the critical component of our business and given the current tightness of the labor market, labor availability was an issue. Overall, I'm pleased with our rapid response to the issue and encouraged by consistent progress that has continued into October. We took several key actions to improve our staffing over the course of the quarter. To start, we needed to increase visibility and urgency across the company from a C-suite down to the local branch and service managers. As we have learned staffing is a local issue and while staffing may appear fine at a total company level, there were certain markets that we saw and continue to see at critical levels. With a high emergency and improved visibility, we had a weekly critical staffing calls to create track progress on local branch level action plans. We clearly defined responsibilities across branch and service managers as well as our talent acquisition teams to ensure we make rapid progress in the branches were at matters the most. We've also made considerable improvements and how we market and fill open roles, we have done a better job highlighting the improvements we are making in our teammate value proposition. Our technician goals have attractive compensation levels, a high degree of autonomy, and we are making key investments in training and tools that will shorten the time it takes for new hires to be successful. We are also making improvement in shortening the time from open position to productive technician with improvement through the hiring and on-boarding process from click, to apply to higher. Additionally, we are enhancing pay plans, especially as it relates to our sales positions. We have increased fixed salary rates for new to the role outside sales professionals or OSPs. This provides more pay certainty for new hires as they get comfortable with the selling process and get the proper training to become effective. Starting in October, we have also enhanced cross sell commissions for technicians to improve total compensation and are experimenting with leniency on certain aspects of compensation in areas where staffing is a critical levels and require technicians to absorb additional work. And finally, the impact we have seen in staffing levels this year has led us to explore our long-term operating model. While still in the early stages, we are exploring the idea of universal technicians and are well along the way towards enabling better cross-selling capability and incentives for our teammates. Our plans are working. At the peak of our staffing issues, we were approximately two technicians per branch understaffed on average, reduced that level to approximately one and a quarter technician at the end of Q3 and continued to make progress in October. Confidence in our ability to continue to make staffing progress is reflected in the fourth quarter guidance. Bob will discuss later. And we are encouraged by the strong October. We have already had under our belt in this area. While encouraged by the progress we have made, given the competitive nature of the labor markets, we are expecting to see labor challenges for the rest of the year and are targeting to be fully staffed by late winter and early spring of next year, in line with our peak pest season. Longer term, these staffing challenges underscore the importance of the investments we are making to strengthen our value proposition at Terminix with clearly defined training and career paths through Terminix University. Last week, we accomplished a major milestone in the Terminix Way as we rolled out the first of a series of playbooks to our regional field leadership. I was able to meet face to face with our team last week to align on our forward growth strategy and introduce new management tools and leadership training to improve their effectiveness as a regional leader responsible for multiple branches. As with most multi-location businesses, when I looked across our business, there is a wide variation in our results across all key metrics from the top to the bottom. For instance, depending on the service line, retention rates of our top-performing branches are 20% to 30% percentage points higher than our lowest performing branches. Last week, we rolled out a new tool that will get clear visibility for each leader into the underperforming branches in their region by precise metric. The ability for each leader to easily see the key issues and underperforming branches is the first step in the process of turning around performance. Understanding why branches are underperforming is important, but being properly trained and how to improve the metrics is what will ultimately drive improvement. To that end, we introduced playbooks that clearly define actions that approve proven successful in turning around similar metrics and other branches at Terminix. Moving low performing branches to the middle of the range will drive substantial growth and margin expansion opportunities. Rolling this out with our regional field leaders last week was an important first step in the Terminix Way, and we plan to scale these playbooks to other key positions and competencies in the company as the Terminix Way in the training reinforcement needed in Terminix University continues to mature in the coming months and quarters. Shifting to customer penetration and acquisition, there are three core areas we are focused on to drive better organic growth rates. First, we have significant opportunity to deepen our relationships with our existing customers by leveraging our 50,000 touch points per day to drive improved customer penetration. Today, we go to market in a residential business with four main recurring services, pest control, mosquito, termite, and wildlife exclusion. Our average customer has approximately 1.3 services each site in the opportunity, each 10th of a point improvement and household penetration represents between $55 million and $65 million of potential revenue with higher than normal flow through to profit. As part of the Terminix Way and CxP, we are developing a robust technician cross selling playbook enhancing our ability to grow the business by maximizing the selling potential of our technicians. Better training and a repeatable inspection process enabled by CxP will help our teammates diagnose potential problems before they occur and partner with customers protect their homes. While we also likely have some incentive changes that we will need to make along the way, the opportunity from better penetration is a very large one. I look forward to sharing progress and goals on this important penetration metric as we continue to implement the capabilities needed to drive improvement through Terminix Way and CxP. The secondary is deployment of CxP. In early October, we pushed the CxP functionality update to our Phoenix pilot branch that reflects the version we planned to scale later in the year. We have an aggressive implementation plan that will add several regions to the platform before year end and see us scale to the entire country by the middle of 2022. While only a few weeks into the update in Phoenix. I was able to be on-site and see firsthand the results of the launch, and I'm confident that the improved technology makes the day-to-day lives of our technicians easier, improves customer service consistency and ultimately will improve customer retention. The final area of focus is new customer acquisition through enhanced marketing capabilities. Our marketing and IT teams in conjunction with our agency partners are making progress on a refresh website and we remain on track for a December launch. This website will be built around maximizing the self-service e-commerce capabilities, our customers are asking for. The website will also enhance SEO and feature a prioritization on keyword placement to make it easy for us to be found when consumers are searching for pest control online. In addition to partnering with our customers to drive better penetration, we have significant runway for volume growth through improved customer retention. While both pest business lines were negatively impacted by lower completion of recurring and one-time work year-over-year, cancellations were not the driver. In residential pest, we saw improvement in both near term cancel rates in the quarter as well as year-over-year trailing 12-month retention rates. In the commercial business, we saw strong cancellation improvement in Q3 and while year-over-year trailing 12-month retention rates remain impacted by COVID. We did see sequential improvement in the quarter. While the termite business that shows strong growth in renewals from volume increases and pricing actions, retention remained relatively flat to prior year and cancellations were elevated due to increased customer moves in the quarter compared to prior year. As we look at retention across the industry and our own 20% to 30% retention variation across the branch network, we are confident we have ample room for improvement and retention rates across all service lines. The implementation of service standards, enhanced training curriculums, and improved technology that come with CxP and Terminix later this year give us confidence we can make meaningful improvements in retention rates during 2022. And finally, all these priorities are designed to improve our profitability and expand our profit margins. The margin highlight in the quarter was progressed on termite damage claims. In the quarter, we saw a 58% reduction in new litigation compared to Q2. This coupled with a 23% year-over-year reduction and cost per litigated case was the primary driver and expense reduction. On the non-litigated side, new claims were down 6% year-over-year while cost per claim continues to be elevated due to inflationary pressure on building materials. Both litigated and non-litigated claim count saw a reduction in areas outside of the narrowly defined Mobile Bay area as we continue to see escalation primarily focused in the foremost in termite areas along the Gulf of Mexico. This is especially true in litigation with approximately 85% of cases coming from within a 200-mile radius of Mobile, Alabama. We continue to make progress with our mitigation program in that area and are confident the strong results we have seen in Mobile will translate to other areas of the country over time. We also saw strong productivity in both fleet management and chemical costs as we have lower fuel prices due to our aggressive 2020 hedging actions and improved chemical costs through the purchasing power of our product sales division. We also saw productivity as we in-source commercial national accounts and are able to perform the work more efficiently than subcontractor rates. Higher costs included labor expense as we manage through higher year-over-year turnover and a tight labor market as well as significantly increased COVID related medical costs. Year-to-date, margins of over 20% have expanded by more than 170 basis points despite longer term investments in key operational capabilities. As Bob will discuss in more detail, despite staffing shortages and medical rate increases, our full year guidance reflects strong year-over-year margin expansion of more than 110 basis points. Moving to Slide 6, I thought it'd be helpful to include a timeline of the initiatives we have underway to better illustrate implementation schedules for each. We have three primary areas with initiatives underway to drive profitable growth in the company. Starting at the top of the page with enhanced marketing, we have already made significant progress on search engine marketing optimization this year and benefits of our actions will carry over into next year. We plan to launch our website in December. I would expect soon after launch to drive organic traffic with better search engine optimization. For CxP, we launched the new platform in Phoenix in the third quarter and CxP is planning to scale this new enhanced code into a few regions before the end of the year and it's marked for full deployment by the middle of 2022. For Terminix Way, we recently rolled out our first playbook for field leadership. Over the next couple of quarters, we will continue to build out standards in playbooks for other roles including technicians and branch managers and our planning the Terminix Way branch pilot towards the end of Q1 with a full launch later in the year. Once developed, the playbooks will become a part of Terminix University online with a full training center in the longer-term plans. I will now turn it over to Bob for a deeper discussion on the financials and guidance. I will come back with some closing thoughts on the quarter and expectations for the future before Q&A. Bob?
Bob Riesbeck: Thanks, Brett. Let's start with a detailed review of our top-line performance. Overall, we delivered revenue growth of $18 million driven by $9 million organic growth of 2% as well as 2% growth from M&A. Beginning with the termite and home services column on the left side of Slide 7, reported revenue increased by $5 million or 3% in the quarter. Termite and home services completions were up 3% in the quarter with core termite completions up 1% and home service completions up 5% year-over-year due to improved cross-selling to existing customers. Core termite completions made up 52% of the $91 million completion revenue in the quarter. Termite completions were impacted by lapping 13% growth in completions in the third quarter of 2020 as we saw strong growth from the introduction of our monthly pay product. Termite completions also continue to be impacted by staffing challenges and our outside sales professionals as the labor markets have impacted hiring rates and turnover in this very competitive labor pool. Despite these challenges, we are seeing better productivity from our existing salespeople, which enabled us to bounce back from declining completions in the second quarter. And as Brett mentioned earlier, the CxP roll-out and enhanced training from the Terminix Way to our technicians will help drive selling opportunities in the coming quarters. Termite renewals were up 3% as we begin to see the benefits of increased volume from sales last year as well as better pricing in an inflationary market. Adjusting for more than $1 million in headwinds from a change in revenue recognition for our monthly pay product, termite renewals were up 6%, the highest renewal growth rate since 2018. We expect to see strong growth in renewals again in the fourth quarter as we start to see benefits from the monthly pay product offering. Residential pest grew 3% in the third quarter with organic revenue growth of 1%. We continue to see strong pricing benefits in an inflationary environment as well as improvements in both cancel rates and customer retention, both sequentially and year-over-year. We also experienced strong bed bug demand in the quarter as travel mobility continues to improve. Growth was negatively impacted by shifting resources to cover increased commercial volume. Growth in residential pest was again negatively impacted by lower than expected summer sales due to staffing challenges at our sales partners, driven by the competitive labor market. We are making progress in digital marketing and are excited about improvements in SEO after the launch of our website in December that will drive an increase in profitable leads in the future as our staffing levels improve. Commercial pest grew 3% in the quarter, including 4% from M&A. Our International business reported in the commercial revenue lines saw strong growth in the quarter and also benefited from about $1 million and favorable currency exchange in the period. The domestic business was severely impacted by lower staffing levels due to the increase in volume from the in-sourcing of certain national accounts customers. Staffing shortages led to challenges completing recurring work as well as missed corresponding opportunities in one time sales. As Brett covered earlier, we have a robust staffing plan in place and have improved our staffing levels consistently over the quarter and into October and remain confident we can get back to the needed levels in time for the peak pest season next year. Then the other revenue service line product sales were up 11% organically over the prior year as we lapped the impact of COVID and the chemical purchasing outlook improved. Overall, the third quarter saw a strong rebound in termite business while both residential and commercial service lines were impacted by staffing issues. With advancement in digital marketing capabilities as well as progress on Terminix Way and CxP, we are confident we can continue to make meaningful progress towards sustainable organic growth rates in the mid-single digits as we look to 2022 and beyond. Turning to Slide 8, you can see the financial summary and detail on the adjusted EBITDA drivers for the quarter. On the P&L at the top left of the page, you can see that the $18 million or 4% revenue growth we covered on the previous slide by $3 million or 3% increase in adjusted EBITDA for incremental margins of around 20%. Adjusted EBITDA growth and lower interest expense drove a $17 million or 50% increase in adjusted net income. And finally, the net income increase in share repurchases in the quarter led to a $0.15 or 49% improvement in adjusted EPS to $0.41 per share. Across the bottom of the slide, you can see the adjusted EBITDA drivers for the quarter. Revenue growth, including growth from acquisitions added $8 million of adjusted EBITDA in the quarter. Labor increased $3 million in the quarter, primarily driven by higher turnover year-over-year from the competitive labor markets. We are expecting labor headwinds in Q4 and into 2022 as we ramp up our staffing levels over the winter. Direct cost productivity generated $4 million of the higher adjusted EBITDA. In addition to lower chemical costs and favorable fixed fuel hedge prices, we also saw a margin increase from the insourcing of national accounts customers as we continue to provide services at a lower cost and subcontracting. Termite damage claims expense decreased $5 million in the quarter due to lower cost per litigated case as well as a 6% reduction in non-litigated claims count. These reductions more than offset higher cost for non-litigated claims due in part to inflationary pressures on building materials and contractor costs. Medical cost increased $5 million due to increased medical claims and short-term disability cost as a result of increased COVID-19 infection rates across our customer facing workforce. While the impacts of the pandemic are difficult estimate, at this point, we are expecting higher medical costs in the fourth quarter and into next year. Non-Capital third-party investments in design implementation and deployment of Thermax Way and CxP were $1 million in the quarter and $2 million year-to-date. We expect to see another $1 to $2 million dollars in the fourth quarter as we scale CxP and train our teammates on the new operating system. As we will touch on in the outlook in a few slides, we remain largely on track with our full-year adjusted EBITDA and margin outlook and are still targeting full year margin expansion of between 110 and 140 basis points. Turning to Slide 9, you will see the cash flow summary for the quarter. We have used $21 million in cash and working capital year-to-date, we expect Q4 to also show a use of cash as we repay in the first half or approximately $15 million of the 2020 payroll tax deferrals from the CARES Act in December. CapEx of $17 million year to date is primarily related to the capitalized development cost of CxP. Year-to-date free cash flow conversion of 63% is in line with expectations and we remain on track for the conversion to be in the mid to high 50% range for the full year. Shifting to uses of cash, we have completed $86 million worth of acquisitions including 8 in the quarter and remain active with other small tuck-in deals in the pipeline. As we get more comfortable with our ability to integrate these operations with CxP, we plan to continue to ramp M&A spend into next year. We made scheduled debt payments of $79 million including approximately $50 million for the final payment of the Copesan agreement and earn out. And finally, the primary use of cash so far this year continues to be through the share repurchase program. Under the program, we have repurchased $522 million worth the share this year. We have approximately $272 million remaining in our current $400 million program. We ended the quarter with $156 million in cash and $534 million in available liquidity with the net debt leverage ratio of 1.9 times. This cash position and balance sheet flexibility allows us an ample ability to invest in long-term growth through Terminix Way, CxP implementation and accretive M&A as we progress towards our longer-term leverage target of around 2.5 times. Moving to 2021 outlook on Slide 10, for the full year 2021, revenue is expected to range between $2.35 billion and $2.50 billion. We have increased the low end of the revenue guidance range by $10 million to reflect increased acquisitions in the third quarter. While organic revenue is still expected to remain between 3% and 4% given the staffing impacts the pest revenue in the quarter, we are now trending to the lower end of that range. Adjusted EBITDA remains unchanged between $308 million and $390 million with margins between 18.7% and 19% for margin expansion of between 110 and 140 basis points year-over-year. Incremental margins are expected around 50% at the midpoint, despite absorbing headwinds from pandemic related expenses in medical and labor. In the fourth quarter, we expect the flow-through of revenue growth to be largely offset by headwinds in labor, medical expenses, and investments in sales and marketing. Despite staffing and COVID impacts of the business, we remain encouraged by the progress we are making to improve the fundamental operations of the business. Terminix Way and CxP are the initiatives we need to drive consistently across our branch network that will lead to better customer retention and improved customer penetration. And with that I will turn it back over to Brett to give some final thoughts.
Brett Ponton: Thanks, Bob. As I moved fast, my first year in the business, I obtained a better understanding of the key drivers of our business. As we saw this quarter, staffing is the most critical component of our business and I'm encouraged by the progress we have made improving staffing levels in October and I'm confident we have line of sight into next year in a better place than we exit this year. I've also seen the attention to detail we need on growth. I'm happy with the management team we have in place, but given the importance of growth to our business, we plan to make a final addition to our leadership team with someone solely focused on revenue growth. Overall, the third quarter reflected good progress on key initiatives with the lift on digital marketing efficiency, the launch of CXP in Phoenix and the deployment of the first Terminix Way playbook to our field leadership remain on track with our long-term strategy and I'm proud of our ability to drive growth and margin expansion in 2021 while we build out these foundational capabilities for the future. I remain confident we have the pieces and strategy in place to reach industry level growth and profitability as we leverage the additional capabilities these initiatives will provide our team mates. As we look to 2022 and mature with CxP and Terminix Way, I look forward to sharing details of refresh flow plan focused on improving new customer acquisition, customer penetration, and reduced variation across the branch network. The foundational investments we are making in 2021 are vital pieces to enabling that growth plan and I remain encouraged we are on the right track towards industry-leading growth in operating consistency. And with that, I'll hand it over to Jesse to lead us through Q&A.
Jesse Jenkins: Thanks, Brett. With many analysts the line this morning, I ask you to please limit yourself to a single question, so that we can get to everyone to allot time. Operator, open the line for questions.
Operator:  Our first question comes from Tim Mulrooney with William Blair. Please go ahead.
Tim Mulrooney: A question on organic growth. It looks like you maintained your full year guide for organic growth of 3% to 4%, correct me if I'm wrong, but a little back of the envelope math. And I think your guidance implies that you expect organic growth to accelerate a little bit here from the third quarter to the fourth quarter, is that fair statement. Did I do that math right and if so, if you talk about the primary factors driving this expected acceleration despite the more difficult comparison.
Brett Ponton: Yes, sure, this is Brett, by the way, your math is accurate, there it does imply an improvement in our run rate of our Q3 exit right here. The primary driver of that is related to staffing improvements but I commented on the prepared remarks, we've seen a nice improvements in our staffing levels to model, and as a result of that we've seen that translate into improved depletion rates of our reoccurring revenue, that's translating into higher revenue growth. So we feel confident and the guide given that improving labor backdrop that we've seen in October.
Operator: Our next question is from Ashish Sabadra RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. So, my question was on EBITDA. We saw some pretty, there are number of moving pieces there, but we saw productivity improvement really help alleviate some of the headwinds from inflation. How do we think about those puts and takes going forward, I know you talked about some mid-single digit growth going into next year. I was wondering if you could provide some early view about all these puts and takes as we exit the year. Thanks.
Bob Riesbeck: Yes. As we look at next year, this is Bob by the way. Good morning. Obviously, we see some strong pricing backdrop to continue through next year, really some good as Brett has mentioned, year-over-year organic improvement and definitely with our termite business and then we do see some headwinds going in the next year as it relates to fuel, the team here did a great job hedging fuel this year. And so we will see that kind of be somewhat of a headwind in the next year. We do see as Brett mentioned during the prepared remarks, some labor challenges continuing into next year. So those are really the primary really items going into 2022.
Operator: And our next question is from Ian Zaffino with Oppenheimer. Please go ahead.
Ian Zaffino: Actually if I could kind of maybe sneak in two questions. Want to build up on the last one, would be on the pricing side. Is your pricing catch up pricing, are you able to preemptively push through pricing, assuming that there could be additional inflation, how you actually thinking about pricing and elasticity and offsetting any type of increases. And then just maybe down a touch upon in-sourcing Copesan, we haven't really heard about that, so I don't think that was asked yet. So anything related to that, how do we think about the in-sourcing of that. Thank you.
Brett Ponton: Sure. Good morning, by the way, and thanks for the questions. We'll start pricing first. First of all, I think one of the things I like about this industry and we see in our business is our ability to push price into the marketplace, both on the consumer side in residential as well as commercial. We do think there has been a little bit of catch-up pricing that we saw this year as we've done analytics, we feel like you may be under market and our service lines, both commercial and residential. So certainly some catch-up pricing there. I will say, however, we made some pretty significant investments in 2021 to improve our analytics and capability to drive deeper insights around elasticity and consumer behavior in particular. And we're starting to see some of the benefits of that flow through in Q3 and are expecting that in the Q4 and beyond, we recognize we're likely heading into an inflationary environment here we know we're in and enhancing that analytic capability was paramount and a priority for the team there, so we built that out, we feel very good about our ability to continue to take price here as we exit 21 and we enter 22. Another positive point around pricing, we didn't comment about improvements that we saw on customer retention and certainly in our residential areas and despite us taking maybe a little more price in the quarter, our retention rates have improved as well. So we feel good about that. And related to Copesan, certainly it was an impact on our business in the quarter, I'd like to provide little more clarity around that. If you recall our Copesan earn-out agreement expired in late April and that agreement had a 30-day notification period for the partners and we did have a handful of partners who decided to leave, the Copesan service network if you will, and that required us to take on that incremental Copesan volume. So, a significant portion of that hit us in Q3. And just as a reminder, with focusing on model, the in-sourcing is only margin contribution item for us, as we were already collecting the revenue, reporting the revenue and I was already in our run rate. Of course, so what we saw in Q3 was a pretty sizable increase in our volume at our branch level and it's not just the volume, it was high frequency, high complexity volume that puts some straining on our labor in our business and certainly the unintended consequence of that I think has led to lower completion rates and one-time sales opportunities and our commercial business and to a certain degree in our residential business. So, on the positive side, that's now behind us, our labor markets, our labor situation dramatically improved as we had in October and I'm really encouraged about the team's ability to span taken on that incremental volume, still delivering the in-line quarter that we deliver and now that's that we will be there, we can get focused on regaining our completion rates back to the levels that we saw before that Q3 in-sourcing challenge.
Operator: And our next question is from Gary Bisbee with Bank of America Securities. Please go ahead.
Gary Bisbee: If I could just follow up on that. So you talked about missing some one-time opportunities, but maybe it sounds to me like more of an issue, not being able to complete some recurring business. Retention is up, but if you're not doing services both do I think particularly for commercial customer. It strikes me there is some risk. With that that goes down, if they are unhappy with that. So is that an issue in residential and commercial, how are you dealing with that, and can you give us a little more color on when you say you're sort of in much better shape in October from a staffing. What that really means, is that you've passed this surge from Copesan coming in or if you've really made real progress. Thank you.
Bob Riesbeck: Good question. Let's start with the first part of that. Really proud of the protocols the team put in place with our customers, we established in solid lines of communication with our national account customers in particular, we levered some of the capability from our CxP technology, will give us better visibility on that, and we feel like we've navigated through that quite well through that surge, if you will and maintain good solid relationships with our customers despite that. The improving backdrop, I mentioned in the prepared remarks is our staffing gap, technicians to our model, was about 2.0 and now we're down roughly 1.25 techs per branch being line. So certainly we saw improvement in our technician staffing plan and as a result of that, we've seen a corresponding improvement in our reoccurring wealth completion rates in October that is certainly leading to a much more positive outlook on revenues we finish out Q4.
Operator: And our next question is from Mario Cortellacci with Jefferies. Please go ahead.
Mario Cortellacci: Thank you. Maybe you could just talk about the cadence of returning to mid-single digit organic growth and is there anything over the next 12 months that's more non-recurring in nature that could hurt any progress there and along in that mid-single digit number, how much you could have got to think that apart and how much you think is coming from better retention and how much is from pricing, better product penetration, new customers, etc. And any color there would be helpful.
Brett Ponton: First of all, I'll start with the second part of the question, I think the expectation we would have is and I won't parse retention and new customer growth, but I think the industry has historically seen due to 3% on price. So implied in that is better retention and better customer acquisition on the balance of that to get to the mid-single digits are related to our progress on the path to get there. First of all, let me just recap here, I think our team has done a nice job of right on our plan that we've established for the year. In fact we're exceeding our plan that we established, we raised our EBITDA guidance after Q1, as I mentioned in the prepared remarks. I'm really pleased with our team's ability to expand margins and drive the 3% to 4% organic growth this year despite the fact we're making pretty significant investments and the underlying capability led by work we're doing on Terminix Way of course and CxP in particular. And so we talked about I'm encouraged we reached some pretty significant milestones yet this year on those two initiatives, rolling out our leadership modules to our field organization last week in Dallas was one of those big milestones, as well as rolling out the version that we plan to scale for CxP in Phoenix earlier this month. And that roll-out by the way was all modified based upon the input session that we had bringing our technicians into Memphis to get feedback on the previous version, all those edits had been made and are now being implemented, that we intend to scale starting later this year. So, so the self-help initiatives are start mature and those are certainly going to roll in the next year and then the last point I would add is just the investments we're making around marketing. Building the marketing capability here on digital, we made some progress on improving our SEM, as we talked about, but the real major first step forward is getting our new website launched in December and the collection of those key initiatives as we laid out in our timeline will create the self-help this company needs to help drive the improvement of our current run rate and get to that mid-single digit organic growth rates were expecting.
Operator: And our next question is from Toni Kaplan from Morgan Stanley. Please go ahead.
Toni Kaplan: This is Jeff Goldstein on for Toni. I just wanted to follow up on one of the last comments you made around the new website and e-commerce platform that's going to be launched in December. Is that strictly a revenue opportunity or is it also an expense saving opportunities as well because I was hoping if there was anything you could give us around maybe your customer acquisition cost currently, and if you think these platforms can drive some type of reduction in that, just how should we think about the benefit on the expense side from that roll-out. Thanks.
Bob Riesbeck: Yes, great question. Jeff, by the way, it's an area that we're digging into a great deal is just understanding better our conversion rates from lead to new sale, and we identified significant opportunities there to improve our conversion rates and as you might expect a more enhanced website that improves the efficiency from the point the customer enters the brand to ultimately transacting every improvement and a conversion percentage point drive significant improvement in our revenue, but also of course lowers our cost to acquire that customer. So those sites, I think it's going to be well addressed here as we launched our first version is website. And I will say, what was the journey we're going to be on this is version 1, we going to like every other initiative in the company, we're going to focus on continuous improvement. I'm really proud of the progress our marketing team has made to get us to this point and we're excited to get this launched later this year and continue to build on that as we head into 2022.
Operator: Our next question is from Michael Hoffman with Stifel. Please go ahead.
Unidentified Analyst: Good morning, Brett, Bob and Jesse. This is actually  on for Michael Hoffman. Thank you for taking the question. Just going back to the organic growth. So your largest peers usually post organic growth in the high single digits in the aggregate, what do you see at the pathway they get turned next that level and above the mid-single digit as you expect from your self-help initiatives.
Brett Ponton: Yes. So we've talked about, I think, to get the mid-single digits, we expect half of that and growth happened that in pricing, we talked about the enhancements that we're making to strengthen our pricing analytics that we're starting to see the benefits already in Q3 and Q4, as I mentioned I also believe we're plan a little bit of catch-up in our overall pricing relative to the marketplace. So that's on the price side, as we talked about number of key initiatives in flight already. I won't go through those again, but there certainly all geared towards driving focus in two key areas. One is to improve our retention rates by delivering better consistent service quality. As I made the comments with prepared remark, we have significant variation and crossed our branch network on virtually every metric and our ability to reduce that variation through tighter standards and better training will drive significant improvement, not just in retention but overall improvement. And then the second areas around household penetration and I think one area that we've identified here is significant growth opportunity for the company has driven deeper relationships with our customers and we shared a new metric with you all where we currently have roughly 1.3 of our 4 core services the customers buy today and there is a significant pathway to growth going forward by driving deeper relationships with them. How we unlock that is twofold, one is through equipping our technicians with better technology to perform thorough inspection, but also at the customer zone, be able to translate the results of that inspection into an easy to execute cross-selling opportunity and that's enabled through the CxP platform that we're in the process of scaling out later this year. And the second area is around getting incentive plans right for those technicians and where we're modifying some incentive plans in October as we commented about and we'll learn a lot from that in Q4 that will use to make any necessary adjustments in 2022 and beyond. So we feel like the runway is long here in terms of self-help initiatives to drive both retention and penetration and then you overlay the new customer acquisition through better website better conversion there that gives us confidence we head into 2022, there is plenty of self-help here to close the gap versus current run rate than industry level growth rates.
Operator: Our next question is from Andy Wittmann with Baird. Please go ahead.
Andy Wittman: Thanks for taking my question. I guess I would like to hear a little bit more detail on understanding the labor costs. I mean your staffing levels were down in the quarter from what you one month of the year. But you expect them to be the costs were up and as I understand that your service technicians are paid more really on volumes than on other factors. So maybe when you guys could take us through kind of the mechanism that led to the increase in labor costs just because the wage rates on average are up from inflation or other factors going on there. And then just technical question to follow up on and the M&A that you had in the quarter $41 million deployed was really had been most I think since you've joined the company, and so I was hoping maybe you could just give a little bit of commentary as to what maybe the annualized revenue from those acquisitions is expected to be or how it splits out between the three reporting groups. Thanks guys.
Brett Ponton: Thanks, Andy. I'll take the first part of the question about take the second part. Relates to labor cost, I think there are three components of that. The first two, which were the primary driver. Certainly, there is a cost to turnover, turnover is going to drive hiring cost and unproductive time with your technicians as they ramp up. The second part is we have higher over time expenses in the quarter as we run leaner on labor force. We have to cover those routes paying overtime to the technicians to be able to do that. And the third part which was less of an impact here. Certainly we have seen some wage inflation in select markets where we've had to get more competitive on our starting wages for entry-level technicians on an hourly basis. But going forward, as you commented most of our more experienced technicians are paid on a productivity basis and our wage profile and value proposition on those mature technician certainly we think are very competitive in the marketplace and our value proposition will continue to get stronger with better career paths and trainings for Terminix University, etc. So we feel good about, again the progress that we've made and certainly our exit rate in Q3 and October certainly reflects that, I'll turn it over to Bob the follow-up question.
Bob Riesbeck: And really just kind of run down kind of our thought process is really related to cap out allocation. I mean our first and foremost focus is investment on growth. And so whether that's the OpEx investments we're making in CxP, Terminix Way and digital marketing, as Brett kindly of mentioned that's clearly the focus. But when we see opportunities in the market as we did in the quarter, we did spend about $41 million on each transactions, they were primarily commercial transactions. And then we are kind of consistently paying and roughly that three times revenue rate on all of these transactions right now. So we'll continue to look at those and look at those opportunities is another path for growth.
Operator: And our next question is from George Tong, Goldman Sachs. Please go ahead.
George Tong: And you mentioned that you had ample room for retention to improve across service lines in 2022. In each of your service lines, can you walk through where retention rates are right now and where you hope retention will work forward.
Brett Ponton: We haven't disclosed what our exact retention rates are, but I think if you look across the three service lines and relative to what the industry talks about in terms of the industry growth rates. Certainly termite, we feel like we're more in line of non-slightly above industry retention rates on termite, certainly commercial pest, we feel like there is an opportunity for us to improve relative to the industry and some similar dynamic on our residential pest area, and I think both residential and commercial speak to the importance of us on establishing clear service protocols that are supported with good training to our technicians to deliver those service protocols and enabled by really strong technology that make certain that our team is executing against those standards, and we're confident we'll deliver good service quality and good customer satisfaction that will lead to higher retention rates. And I'm pleased with the progress the team has made despite having a lot of the tools and technology that our competitors have had in place and for a number of years. So as we close that gap in terms of capability, we would expect that gap to close and look to grow beyond industry growth rates in these areas. I think the other positive point I would touch on is the fact that across our network of 350 branches today, we already have branches that are performing at above industry leading levels in these areas, as you would expect, that's where we're spending our time and energy and grabbing those best practices from those highest performing branches, those are the common genesis of all the service protocols we will look to scale as part of Terminix Way to the rest of our organization. In addition to that, on the commercial side, we are now in a position to fully take advantage of the investments that we've made and acquiring Copesan and in several Copesan partners that have developed deep insights in the commercial verticals that are performed at a very high level, we're using those best practices as the basis for the Terminix Way in our commercial vertical. So, collection of all those things coming together and having in the next year will create some nice self-help for us on driving higher retention.
Operator: And those are all the questions we have, I'll turn the call back over to you for closing remarks.
Jesse Jenkins: We appreciate you joining us for the call and we'll talk to you again, as we layout our 2022 plans. Thank you.
Operator: Ladies and gentlemen, that does conclude our call for today. We thank you all for your participation and have a great rest of your day and you may disconnect your line.